Operator: Good day, and thank you for standing by. Welcome to the Dundee Precious Metals Second Quarter 2023 Earnings Results Conference Call. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to Jennifer Cameron. Please go ahead.
Jennifer Cameron: Thank you, and good morning. I'm Jennifer Cameron, Director, Investor Relations, and I'd like to welcome you to our second quarter conference call. Joining us today are members of our senior management team, including David Rae, President and CEO; and Navin Dyal, Chief Financial Officer.  Before we begin, I'd like to remind you all that we -- that all forward-looking information provided during this call is subject to the forward-looking qualification, which is detailed in our news release and incorporated in full for the purposes of today's call. Certain financial measures we will be referring to are not measures recognized under IFRS and are referred to as non-GAAP measures or ratios. These measures have no standardized meaning under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management's reasonable judgment and are consistently applied.  These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent MD&A for reconciliations of these non-GAAP measures. Please note that unless otherwise stated, operational and financial information communicated during this call are related to continuing operations and have generally been rounded, references to 2022 pertain to comparable periods in 2022, and references to averages are based on midpoint of our outlook or guidance.  I'll now turn the call over to David Rae.
David Rae: Good morning, and thank you all for joining us. I'm pleased to provide you with an overview of our second quarter and first half results and to provide some insights into our achievements during this period.  This morning, I'll briefly review our results and discuss why we believe DPM continues to be well positioned to deliver value to all our stakeholders now and over the long term.  Moving to highlights from our second quarter. These include strong production of approximately 76,000 ounces of gold and 8 million pounds of copper. Excellent all-in sustaining cost performance of $733 per ounce of gold sold, which continues to rank us among the lowest cost producers. Record free cash flow generation of over $70 million and continued exploration success at Coka Rakita in Serbia. With the most recent results we released in July, extending the deposit to the south and confirming and further extending the high grade zone.  With strong production and cost performance in the first half of the year, both of our mining operations are on track to achieve the 2023 production and cost guidance. We exited the quarter in a very strong financial position with a cash balance of $542 million, reflecting our significant free cash flow generation in the first half of this year as well as the proceeds of our divestment of B2Gold shares following its acquisition of Sabina. We continue to deploy our capital in a disciplined manner. And in addition to investing in our future growth and exploration prospects, we returned approximately 36% of our free cash flow to shareholders in the first half of the year through our sustainable quarterly dividend and the enhanced share buyback program, which Navin will touch on shortly.  Looking at our operations in more detail, Chelopech continued its track record of strong performance in the second quarter, producing approximately 44,000 ounces of gold and 8 million pounds of copper at an all-in sustaining cost of $776 per ounce of gold sold. We continue to advance the Chelopech brownfield exploration program with 8 drill rigs currently active along the Brevene exploration license and the [indiscernible] target within the mine concession. With increase in mine and brownfield exploration drilling, we believe there is strong potential to continue our track record of extending mine life at Chelopech, which currently extends to 2031.  Turning to Ada Tepe, the mine continued to deliver impressive performance, producing approximately 32,000 ounces of gold with an all-in sustaining cost of $530 per ounce of gold sold, which is at the low end of Ada Tepe's guidance range costs. Ada Tepe has consistently outperformed our expectations since commissioning in 2019, and we are confident that Ada Tepe will continue to deliver strong results supported by the updated life of mine plan we announced in January.  We're also continuing our exploration efforts around Ada Tepe as the newly granted Krumovitsa exploration license we have a permit for 20-mine drill sites in process and drilling of 3 priority targets is planned to commence in early August. We are planning an aggressive drilling delineation and scout drilling program at Krumovitsa with 15,000 meters expected to be completed in the second half of 2023.  At Tsumeb complex concentrate smelted during the quarter was approximately 49,000 tonnes, which was below our expectations as a result of unplanned maintenance in the off-gas system. We are planning to undertake additional maintenance in the off-gas system concurrently with the Ausmelt Furnace Maintenance, which is currently underway and is expected to resolve the issues in the off-gas system. As a result of these issues, Tsumeb is trending at the low end of its production guidance and towards the higher end of its cost guidance. In Serbia, exploration activities focused on the accelerated drilling program at Coka Rakita with 9 drill rigs currently in operation.  In mid-July, we released additional assay results, which extended the deposits to the south and continue to confirm and further extend the high-grade zone. The 40,000 meter infill and extensional drill program is largely complete, including infill drilling at 60x60 meters spacing and we've started an additional 30,000-meter infill drilling program to take the spacing to 30x30 meters. We expect to complete a major mineral resource estimate for Coka Rakita by the end of this year, and we're also progressing activities to accelerate the advancement of the project, including geotechnical drilling and metallurgical test work.  We've also started scout drilling to test other camp wide targets near Coka Rakita as well as the 10,000 meter scout drilling program on the [indiscernible] license, which is some 5 kilometers south of Coka Rakita. Coka Rakita has several positive attributes that we look for in projects, including a very high-grade core, good initial metallurgical results, strong infrastructure, and it's a great fit with our skill sets, resulting in significant potential within our organic growth portfolio. As a result of this increased activity and the positive results we are seeing, we have increased our 2023 guidance for exploration spend in Serbia, which Navin will discuss shortly. Turning to Loma Larga in Ecuador. We continue to advance the updated feasibility study, including optimization work, leveraging our significant expertise at Chelopech in Bulgaria, and we expect to complete this work in the second half of 2023. During the quarter, the EIA for the 69 kV power line, the primary balance of line to the project received technical approval and the community consultation process for this aspect of the project is currently underway.  At Loma Larga, drilling activities as well as the citizens participation process for the environmental impact assessment remain paused pending the outcome of the appeals process related to the decision on the constitutional protective action following the hearing in mid-October last year. The decision on the appeal is expected to provide clarity on the consultation process and whether an indigenous consultation could be completed in parallel as we had originally planned or would need to be completed prior to resuming the citizens participation process. The expected timing for the environmental license is subject to the outcome of this appeal process. As we advance the project, our approach will benefit from our firm commitment to the highest standards for engagement with local communities and environmental stewardship. in addition to our operating expertise to unlock the significant potential of the project. As a result of the ongoing optimization work for the feasibility study and increased stakeholder engagement activities we're increasing our 2023 guidance for growth capital at Loma Larga, which Navin will discuss further.  At the Tierras Coloradas concession, which is located 200 kilometers south of Loma Larga in Ecuador's local province, we expect to commence a 10,000-meter drilling program this month. This is designed to follow up on the positive results we reported at the end of February, which confirmed the presence of 2 high-grade vein systems that remain open in multiple directions. The primary focus will be to further assess the extension of geometry of the 2 vein systems and to test recently discovered high-grade vein and soil anomalies.  In closing, our second quarter results continue to demonstrate DPM's strong performance and highlights within our industry. These highlights include strong consistent production from our operations and an all-in sustaining cost that ranks among the lowest in the gold industry, significant free cash flow generation, financial strength and flexibility, a record of disciplined capital allocation and returning capital to shareholders, attractive development projects, proven exploration successes, both in our existing mine life extensions and discovering new brownfield opportunities. Also demonstrates industry-leading ESG performance and an impressive track record in securing our social license to operate and strong leadership and technical teams with a history of adding real value to innovation. I'll now turn the call over to Navin for a review of our financial results and outlook, following which we will open the call to questions.
Navindra Dyal: Thanks, Dave. This morning, I will discuss the highlights of our financial results which contributed to our record quarterly free cash flow generation. I'll also provide an overview of our balance sheet and capital allocation program.  As Dave mentioned, the company's mines continue to deliver strong operating cost performance. Looking at our key cost metrics, second quarter all-in sustaining costs of $733 per ounce of gold sold was 7% lower than the prior year, primarily due to lower treatment and freight charges at Chelopech as a result of increased deliveries to third-party smelters and higher volumes of gold sold. This was partially offset by higher labor costs and prices for direct material as well as lower byproduct credits as a result of lower volumes and realized prices of copper sold.  All-in sustaining costs for the first half of 2023 was $802 per ounce of gold sold, 8% higher than the prior year primarily due to lower byproduct credits as a result of lower volumes and realized prices of copper sold, higher labor costs and prices for direct materials and higher share-based compensation expense reflecting DPM's strong first half share price performance. And this is all partially offset by lower treatment and freight charges at Chelopech and higher volumes of gold sold. All-in sustaining cost per ounce of gold sold for the year is expected to be in line with our guidance.  At Tsumeb, cash costs in the second quarter and first half of 2023 of $343 and $368 per tonne, respectively, were 65% and 42% lower than the corresponding period in 2022 and due primarily to a stronger U.S. dollar and higher volumes of complex concentrates smelted due to the timing of Ausmelt Furnace Maintenance shutdown, which was completed in the second quarter of last year. As Dave mentioned earlier, Tsumeb is probably tracking towards the higher end of the 2023 guidance range for cash cost per tonne due to lower-than-planned complex concentrate smelted in the first half of the year from issues with the off-gas systems. We are undertaking additional maintenance in the off-gas systems to resolve this issue along with the Ausmelt furnace maintenance, which is currently underway.  Looking at capital expenditures. Sustaining capital expenditures in the second quarter and first half of 2023 of $9 million and $17 million, respectively, were 58% and 45% lower than the corresponding period in 2022, mainly due to the timing of the Ausmelt furnace maintenance shut down at Tsumeb. Sustaining capital expenditures are expected to be within the guidance range for 2023 with the completion of the Chelopech tailings management facility upgrade during the second quarter and Ausmelt maintenance scheduled for the third quarter. Growth capital expenditures in the second quarter and first half of 2023, primarily related to the Loma Larga Gold project were $7 million and $13 million, respectively. Similar to the corresponding period in 2022. Turning to our financial highlights. Revenue in the second quarter and first half of 2023 of $168 million and $323 million respectively were 25% and 12% higher than the corresponding periods in 2022, primarily due to lower treatment and freight charges at Chelopech, higher volumes and realized prices in gold sold, and higher volumes of complex concentrates smelted reflecting the timing of the Ausmelt furnace maintenance shutdown, partially offset by lower volumes and realized prices of copper sold at Chelopech.  Second quarter net earnings were $62 million or $0.33 per share compared to $34 million or $0.18 per share in the prior year due primarily to higher revenue and interest income partially offset by higher planned exploration and evaluation expenses.  Net earnings in the first half of 2023 were $108 million or $0.57 per share compared to $60 million or $0.32 per share in the prior year due primarily to higher revenue lower cost of sales and higher interest income, partially offset by higher planned exploration and evaluation expenses and higher share-based compensation expenses as a result of DPM's strong first half share price performance. In terms of our cash flow metrics, cash flow provided from operations in the second quarter and first half of 2023 of $59 million and $130 million, respectively, were 18% and 14% lower than the corresponding period in 2022 due primarily to the timing of deliveries and subsequent receipt of cash and the timing of payments to the new suppliers, partially offset by higher earnings was generated.  Free cash flow in the second quarter and first half of 2023 were company records at $71 million and $136 million, respectively, $29 million and $46 million higher than the corresponding period in 2022, due primarily to higher earnings generated and the timing of cash outlays for sustaining capital expenditures. The 3-year outlook previously issued in our MD&A for the year ended December 31, 2022, remains unchanged, except for the following updates to the company's guidance for 2023. So Dave touched on earlier and which we have outlined in Slide 17.  Based on positive results from our drilling programs, exploration and evaluation expenses are now expected to be between $38 million and $46 million, up from the previous guidance range of $25 million to $30 million. This is due primarily to increased drilling activities and early-stage technical work at Coka Rakita in Serbia as well as increased drilling activities at Tierras Coloradas in Ecuador as the exploration programs were expanded following the initial guidance for both of these projects.  Growth capital expenditures related to the Loma Larga Gold project are now expected to be between $18 million and $22 million, up from the previous guidance range of $10 million to $14 million, due primarily to the initial scope of work for the optimization phase of the project that started earlier this year, which will carry through to the balance of the year as well as increased activities related to stakeholder engagement. We continue to deploy our capital in a disciplined manner that balances our desire to reinvest in growing and optimizing our business with our commitment to returning capital to our shareholders. In addition to investing in our future growth and exploration prospects, we have continued to pay a quarterly dividend in 2020, offering attractive 2.4% yield based on the current DPM share price.  As we continue with our enhanced share -- we continued with our enhanced share buyback program to purchase up to $100 million of the company's shares over a period of 12 months, which began on March 1, 2023. Up to and including repurchases made in July, we have bought back approximately 6 million shares for a total value of approximately $42 million.  In closing, we delivered another strong quarter of operating performance from our mine operations and generated a record quarterly free cash flow of $71 million, bringing the total free cash flow generated for the first half of 2023 to $136 million, also a company record. A robust cash balance of $542 million, which includes $56 million of cash proceeds from the Sabina B2Gold investment, together with no debt, an undrawn $150 million revolving credit facility, continued strong free cash flow generation positions us well to fund future growth opportunities that generate additional value for stakeholders while continuing to return capital to our shareholders.  With that, I will turn the call back to the operator for Q&A.
Operator: [Operator Instructions]. Our first question comes from the line of Wayne Lam of RBC.
Wayne Lam: Just wondering, at Tsumeb, what's the length of the planned maintenance shutdown this quarter? And then I recall you had mentioned earlier in the year that there were some changes being implemented that would help address some of the problems you've had with the off-gas system to provide improved continuity. I'm just curious if those changes are expected to take hold post the maintenance completed in Q3 or if there are additional items that have to be evaluated to provide better availability at the smelter.
David Rae: Yes. So the plant shutdown maintenance started up on the weekend, and it should be in around 42 days. In terms of changes to address the off-gas system reliability and continuity, yes, we are undertaking that work during the shutdown. And we would anticipate that what that's going to do is give great continuity to the integrity of the water cooling system on the back end of the Ausmelt, which has been the Achilles heel in the last 2 years or so at these smelters. So we're doing a more extensive replacement with the idea being that we're relying less on doing repairs, which take time down in the operation and are more prone to subsequently work. So we anticipate that the current shutdown and the work that we are doing will mitigate that and get us back to a reliable smelter operation.
Wayne Lam: Okay. Great. And then maybe at Loma Larga, you guys have had to put a pause on drilling for well over a year now and still having a clarity on the consultation process and yet the guided spend there is nearly doubling. So just wondering why you guys are committing more capital there. Is that just having a function of having excess cash on the balance sheet? Or -- or is it a matter of wanting to be in a position to get the optimized work done and ready to go if they ever give to go ahead?
David Rae: Yes. Wayne, definitely not excess cash on the balance sheet. We are continuing to be aware of needing to be disciplined in terms of the money that we have on the balance sheet. What we're targeting is making sure that we complete the feasibility work. It's very important that we do that to have a level of confidence in the information to have clarity on capital costs and operating costs and further opportunities. So the main piece of the addition is really targeted towards that. But we've also been having some success with work being done on our community and social activities. And we've put more time energies into that. So it's those 2 items, is completion of the engineering work and it also doing some additional activities in and around our communities.
Wayne Lam: Okay. Great. And then maybe just last one on the buyback program. It's been nice to see you guys being aggressive on buying back the shares. The stocks really outperformed your peers this year. And just wondering if the $49 million executed date was in part due to getting the proceeds from the B2 sale? Or how are you thinking about the buyback levels kind of going forward?
Navindra Dyal: Sure. Thanks, Wayne. It's Navin. Yes. So if you recall, at the start of the year, our Board had approved the enhanced NCIB program. So we -- it's 10% of the flow, 16.5 million shares. One of the other things that the Board did was prove up to $100 million of share buybacks over the 12 months earning in March. So as we look -- and this is prior to the announcement of Sabina selling to B2. So we'd already been considering this enhanced buyback even prior to that transaction being announced. So the approval of the $100 million for the next 12 months was independent of that thought or that activity.  And so as we look through the balance of the year, that program continues to be in place. The Board continues to authorize us to $100 million for the next 12 months. And we see no reason at this point to stop that or pause that program despite we're not withstanding the increase we've seen in exploration spend or other demand to capital that we have in business.
Operator: Our next question comes from the line of Eric Winmill of Scotiabank.
Eric Winmill: Great. Nice to see the Q2 results and the cash build. Obviously, I think it positions you well relative to the peers. Just a couple of quick questions for me. Maybe starting at Ecuador, obviously, election cycles coming. Any comments there on how you see that impacting some of your work in the country?
David Rae: The election is coming up on the 20th of August. That's going to be both for the assembly and also for the president. There's some possibility that presidential election will be what we saw the last election whereby there's a secondary vote, which we anticipate would be in October. How does that impact what we're doing? It does not at the moment. That's not the reason why we're doing any of the work or the reason why we paused at Loma Larga. So we watch with interest, it will obviously be important in terms of the environment within which to deliver industrial projects and mining in the future.
Eric Winmill: Great. And maybe just moving over to Coka Rakita. So obviously, great to see things are speeding up there, if you will, extra work being done. Do you see that potentially maybe moving the time line to first production maybe a bit sooner? Or any comments there?
Michael Dorfman: Eric, it's Mike here. I think it's early to say in the exact time line. We're in the process of compiling that time line and putting all the pieces together with respect to the technical work. and permitting requirements that need to get done. I think we're going to have a better insight at the end of the year once we have our resources completed. But we are -- you are correct. We are accelerating drilling and a lot of adjustable work to be able to advance that project as would be as possible.
Eric Winmill: Okay. Great. And maybe also on sustaining CapEx. Is it fair to think that there's going to be maybe a little bit higher sustaining CapEx in the back half of the year or any particular projects or comments here on how that's shaping up compared to the forecast?
Navindra Dyal: Sure. Eric, it's Navin. Yes. So definitely, any capital is back-end weighted for the rest of the year. So we've got the Tsumeb maintenance shut that's happening now, which is a large component of that capital. Beyond that, you have additional capital at Chelopech for mobile equipment and process plant. And then it added up for the integrated waste management facility. So -- so definitely, you've got $17 million year-to-date for sustaining capital, and we're still guiding in the range of $46 million to $57 million, we would expect to see higher capital in the second half of the year.
Eric Winmill: Okay. Awesome. And last question for me, and then I'll hop back in the queue. But -- so M&A, obviously, Dundee is a name that comes up in terms of potential acquirers. Any comments there in terms of M&A? Obviously, I think you've said in the past, you're opportunistic, but just curious if you can share anything there.
David Rae: Eric, I'll say the same thing we've said in the past, we do regularly evaluate opportunities. We're going to be disciplined as we go through that process and we recognize we're well positioned. But of course, we regularly look at opportunities that are available. But we're very happy with our organic portfolio as well.
Operator: [Operator Instructions]. Our next question comes from the line of Ingrid Rico of Stifel GMP.
Ingrid Rico: I have a couple of questions for you guys. It continues to be, I guess, quite apparent that Chelopech concentrate is less relying on Tsumeb. Looking at the first half of this year, less concentrate processed there than the first half of last year. So perhaps, can you remind us how should we think about the balance of the year and into 2024 in terms of that delivering to third-party smelters? And maybe if you can share securing a full-time place for that smelter going forward.
David Rae: Yes. So what we've been saying during the course of the year, it remains the case is that 1/4 of production from Chelopech will go to Tsumeb. This quarter in which that concentrate is going to be produced. I might add is there's a little bit of a complication. These things are not so discrete when it comes to unit costs that are charged against to Chelopech. There are slight offsets, and there are also some corrections that are made where we are 90% concentrate payments at time of movements and the 10% correction at the end of things. So you might look see some influences outside of the period that we normally talk to.  So just a caution gets us to that in mind. So this quarter's production from Chelopech will cement and the elevated TCs, which would include elevated transportation costs to simulate the destination. In terms of Tsumeb itself, we're obviously doing what we can to bring down its operating cost to make it competitive to be able to attract concentrate at the right TCs. There's no shortage of concentrate. The question is the treatment terms that you can achieve. So it's not a question of filling the facility. It's a question of what is going to be the average TC in that last element that you bring in.  So at this point, we're not seeing any need for any decisions about whether we operate the smelter or not. So there is sufficient concentrate. But it is something that we are observing. So just the last comment, though, is that the Tsumeb has to be able to successfully compete for the concentrate from Chelopech in order for us to divert Chelopech concentrate too sooner. So we're very clear about our intent to divert our concentrate elsewhere.
Ingrid Rico: All right. Great. Just a follow-up just for 2024. So we can sort of assume that the third-party deliveries are going to sort of stay steady from 2023? Or is there a chance where more of that going to third parties?
Navindra Dyal: Yes. Sure. I'll just take that. So yes, so the expected -- we don't expect to be delivering any additional concentrate to Tsumeb in 2024. So all of it will be third parties going forward.
Ingrid Rico: Great. And because I have you on the line here, question for you on cost. So looking at Chelopech and Ada Tepe, they're tracking much better than the cost per tonne guidance for the year. Perhaps you can comment on where you're seeing that inflation easing in your cost structure?
Navindra Dyal: Sure, absolutely. Definitely, one of the biggest areas is in power. We -- if you recall, for the past couple of years, we had been -- or Bulgaria had been benefiting from a power subsidy that was even despite power costs, being historically higher than they were, they were actually mitigated. That increase was mitigated in part by a power subsidy that we were receiving for most of 2021 and through 2022. Starting this year with global electricity cost fuel prices coming down, we've seen our power costs come down significantly such that in Bulgaria, over the past quarter, we haven't had to receive a subsidy. And in fact, power cost per megawatt hour is actually much below than what we were experiencing in the last year with the subsidy. So that's one area.  Another area is definitely diesel costs for obvious reasons there. Cement is another one, steel. So we're seeing a lot of -- relative to our budget that we had at the beginning of the year, we're seeing a lot of easing in some of these consumable areas. Now quarter-over-quarter or this year versus last year, we're still seeing a bit of an increase. But definitely, we're seeing an easing in that such that we're coming in, as you said, a bit towards the lower end of our cost per tonne guidance for those respective mines.
David Rae: Just want to give a percentage range of what we've seen in.
Navindra Dyal: Yes, sure. The percentage range, we're seeing anywhere between 15% to 20% in some of these areas, but on average, it's closer to between 8% to 12%.
Ingrid Rico: Excellent. And in terms of labor, I know it depends on the jurisdiction, but we keep hearing that labor cost is still challenging and finding labor is a challenge. Perhaps you can tell us a little bit more on the labor side?
Navindra Dyal: Yes. I'll talk about perhaps the cost area. So definitely, labor has been a bit more sticky in terms of -- that's certainly not coming down year-over-year. And so definitely, that's a factor in perhaps why our costs that we -- for this year are higher than last year. In terms of availability, and I'll start and maybe Dave can jump in as well but definitely, the competition for labor in Bulgaria is increasing in Europe in general. And yes, we are seeing a lot of competition there.
David Rae: Yes. We've seen as a very good employer in Bulgaria. And as a consequence of that, we're not seeing a particular issue in attracting people to our production and maintenance roles. It's a little bit more of a challenge when you're talking about technical where there's very significant competition that we're seeing inflationary pressures on what we would need to attract somebody. But at this point, what we're seeing is the cost increases year-on-year is nothing we're saying they're coming down, and that's reflecting through not just to availability, but also in terms of things like collective bargaining and the increases that we're anticipating between 2023 and 2024. So overall, we peaked and we're definitely seeing ourselves on a lowering trajectory in terms of that inflationary pressure that's been within Europe, particularly after the onset of the war last year.
Operator: The next question comes from the line of Eric Winmill of Scotiabank.
Eric Winmill: Just a quick point of clarity. You mentioned that 15% to 20% figure, probably tracking close to 8% to 12%. Is that obviously on a year-over-year basis, you're seeing decreases in the costs? Or just wonder if you could clarify that, please.
Navindra Dyal: Sure, Eric. It's actually relative to budget. And the 15% to 20% was really around the items that I mentioned, which was diesel, power -- power is actually closely up at 20% relative to our budget, what we had budgeted in cement. So -- and then the other numbers in general, between 8% and 12%, that's just across the board. If you kind of factor in things that there's some pluses and minuses there. But on average, we're seeing about an 8% to 12% decline relative to budget.
David Rae: So maybe just an additional comment. We just put in place contracts for the next year. And those see significant decrease in things like steel balls, liners, reagents. So you basically -- you're seeing these things translate not just into a downward pressure, but we're actually translating into 12 months contract, which is substantially lower than the previous year's contract.
Operator: That concludes the question-and-answer session. At this time, I would now like to turn it back to Jennifer Cameron for closing remarks.
Jennifer Cameron: Great. Thank you all for joining us today. Please feel free to reach out if you have any additional questions. And we look forward to keeping you updated as we move towards the end of the year. Thanks, and take care.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.